Operator: Good afternoon and welcome to Editas Medicine Second Quarter 2020 Conference Call. All participants are now in a listen-only mode. There will be a question-and-answer session at the end of this call. Please be advised, that this call is being recorded at the company’s request. I would now like to turn the call over to Mark Mullikin, Vice President of Finance and Investor Relations at Editas Medicine.
Mark Mullikin: Thank you, operator. Good afternoon, everyone and welcome to our second quarter 2020 conference call. Earlier this afternoon, we issued two press releases. The first press release announces the termination of our agreement with Allergan for the development of ocular medicines, returning full control of these programs to Editas Medicine. The second press release provides our financial results and corporate updates for the second quarter of 2020. A replay of today’s call will be available on the Investors section of our website approximately two hours after its completion. After our prepared remarks, we will open the call for Q&A. As a reminder, various remarks that we make during this call about the company’s future expectations, plans and prospects constitute forward-looking statements for purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in the Risk Factors section of our most recent quarterly report on Form 10-Q, which is on file with the SEC. In addition, any forward-looking statements represent our views only as of today, and should not be relied upon as representing our views as of any subsequent date. Except as required by law, we specifically disclaim any obligation to update or revise any forward-looking statements, even if our views change. Now, I will turn the call over to our Chief Executive Officer, Cindy Collins.
Cindy Collins: Thank you, Mark. Good afternoon, and thank you everyone for joining us for our corporate update call for the second quarter of 2020. In addition to Mark, I am joined by; Charles Albright, our Chief Scientific Officer; and Michelle Robertson, our Chief Financial Officer. The second quarter of 2020 has been an important period for the advancement of our pioneering gene editing programs, continuation of building out the development organization and CMC and strengthening the balance sheet. All of this leaves us well positioned to continue to revolutionize the treatments for genetic blindness, cancer, sickle cell disease and neurological condition. Our momentum is even more significant, given the considerable challenges we and the broader scientific community are still facing with the continuing COVID-19 pandemic. I am proud of our team whose dedication and implementation of a robust business continuity plan has enabled us to remain on track with the guidance we shared last quarter. I would now like to review some of our key recent accomplishments. As Mark mentioned, we are thrilled to regain full control of our ocular medicine, including EDIT-101, the first in vivo CRISPR medicine to be administered to patients. Our 2017 agreement with Allergan has been terminated and we have entered into a new agreement with AbbVie that returns development and commercialization rights for ocular medicines to Editas. Over the coming months, we will transition activities previously carried out by Allergan, including regulatory and clinical activities, as well as manufacturing activities for EDIT-101 and EDIT-102 to Editas. Additionally, we will purchase inventory for EDIT-101 and EDIT-102 programs and add staff in clinical development, research, manufacturing and quality. For our lead program EDIT-101 for LCA10, we will resume dosing in the Phase 1/2 BRILLIANCE clinical trial now that sites have been cleared to dose patients after the COVID-19 related costs. We remain on track to complete the adult low-dose and dose at least one patient in the adult mid-dose cohort by the end of this year. I am pleased to report that we are continuing to progress our differentiated engineered cell medicines for cancer and hemoglobinopathies. We remain on track for filing our IND by the end of the year for EDIT-301, our cell medicine for sickle cell disease. We have identified the lead investigator as well as our CRO and are beginning to identify clinical sites. We continue to advance IND-enabling studies for our lead oncology candidate, EDIT-201, an allogeneic, healthy donor NK cell medicine for the treatment of solid tumors. Additionally, we continue to advance our iPSC-derived NK programs for solid tumors as well. We believe our proprietary Cas12a engineering for both our healthy donor and iPSC-derived NK cell medicine will propel Editas to generate transformative cell medicines for solid tumors, an area with a pressing unmet need for innovative treatment solution. As we advance our pipeline towards the clinic, we continue to build our manufacturing capabilities, both internally and externally. To support this robust pipeline in the years ahead, we recently announced two important agreements. We signed a multiyear lease agreement for our cleanroom space with Azzur to perform preclinical and early phase clinical manufacturing activities for our engineered cell medicines. Editas’ employees perform all manufacturing and analytical co-work. Securing dedicated GMP manufacturing space to support the development of our cell medicines including EDIT-301 and EDIT-201 and our iNK program provides us with needed flexibility and control as we advance these programs into the clinic. We also entered into a strategic partnership with Catalent, who will provide critical manufacturing infrastructure and support from their facilities in Baltimore, Houston and Philadelphia. Catalent’s integrated support will include supplying raw material, viral vectors and engineered cell medicine production, as well as storage and distribution of finished product for clinical trials. Lastly, we continue to build out our manufacturing facility in Boulder to manufacture guide RNA. On the organizational front, we onboarded 18 employees over the past quarter, primarily in development and CMC to continue to advance our programs toward the clinic. At the executive level, we hired a Chief Business Officer, Gad Berdugo, who has more than 25 years of experience in biotech, and we continue our search for a Chief Medical Officer. We could not accomplish any of this without the support of our investors. Our recent offering of common stock resulted in gross proceeds of approximately $216 million. These funds significantly strengthen our balance sheet, enabling the continued development of our best-in-class in vivo and engineered cell medicine pipeline, while demonstrating the continued confidence among the investment community in our strategic approach and execution. We thank you. With that overview, I would now like to turn the call over to our Chief Scientific Officer, Charlie Albright to discuss additional pipeline updates.
Charles Albright: Thanks, Cindy and thanks, everyone for joining the call today. I’ll start with our in vivo editing medicines which constitute the first pillar or therapeutic strategy. Earlier this year, we were proud to report dosing of the first patient with an in vivo CRISPR medicine, with dosing of EDIT-101 in the BRILLIANCE clinical trial. On our last call, we shared that the first six weeks of safety data from the first patient dose supported dosing with the second patient. We’re pleased to report today that the first patient remains stable following their three-month follow-up evaluation. We look forward to dosing more patients presenting additional clinical data of EDIT-101 in the near future. Following EDIT-101, our next ocular program is EDIT-102 for Usher Syndrome type 2A. With the termination of our agreement with Allergan, we will transition manufacturing processes and materials from Allergan to Editas to advance this program into IND-enabling studies. We are expanding our in vivo pipeline to indications beyond ocular using our knowledge from our ocular programs. As previously disclosed, we’re collaborating with AskBio in a neurology program. Switching to engineered cell medicines, the other strategic pillar of our therapeutic strategy. We are encouraged with our progress without EDIT-301 potentially best-in-class medicine for hemoglobinopathies. EDIT-301 remains on track for an IND filing for sickle cell disease this year. As a reminder, EDIT-301 increases fetal hemoglobin by leveraging our proprietary Cas12a to edit the beta-globin locus of the site or naturally occurring human mutations, increased fetal hemoglobin and suppressed sickle cell disease symptoms. The human genetic support for our approach decreases potential safety risks. Importantly, this human genetic support does not exist for the BC11A enhancer site. Further, our approach induces more fetal hemoglobin in preclinical studies and editing at the BC11A enhancer region. We believe this increased fetal hemoglobin will translate into improved efficacy in the clinic. We presented preclinical proof-of-concept and an oral presentation at the EHA. In this presentation, we showed we could efficiently edit hematopoietic stem cells from sickle cell disease patients and that these edited cells had improved properties indicative of reduced sickling propensity. Further, we showed cells from healthy donor derived hematopoietic stem cells were maintained in vivo in an elevated and pan-cellular fetal hemoglobin expression, following EDIT-301 treatment. These data add to our package supporting the best-in-class potential of EDIT-301. For these reasons, we are eager to test at a 301 in the clinic and remain on track to file an IND for sickle cell disease this year. In preparation for this Phase 1/2 trial, we’ve identified the lead Principal Investigator engaged to CRO begun site selection and are planning an investigator meeting in the fourth quarter. Further, our recent agreement with Azzur provides the necessary infrastructure to manufacture the clinical trial material. As we have shared, Editas is growing its investment in oncology. Cell-based medicines have shown transformational activity and liquid tumors. The major unmet need though exists in solid tumors where we aim to develop differentiated off-the-shelf medicines. Our proprietary editing capabilities positioned us uniquely to deliver on our vision for oncology. We’ve made substantial progress with our lead candidate EDIT-201, a healthy donor derived allogeneic NK cell medicine for the treatment of solid tumors. We continue our IND-enabling studies. As part of these efforts, our collaboration with Sandhill has accelerated the acquisition and expansion of healthy donor NK cells. We intend to present updated preclinical data from this program in a scientific congress later this year. We also continue to advance our engineered iPSC-derived NK cell medicine program, recently presenting in vitro data at ASGCT. These data show that our CRISPR/Cas12a editing platform enhanced iPSC-derived NK cell tumor killing properties and support the transformative potential of these cells as an office shelf medicine. We believe these treatments can be an important new treatment option that explores the intrinsic properties of NK cells, while avoiding the side effects of T cell therapies such as Graft versus Host and cytokine release syndrome. Our lead experimental medicine will contain multiple genetic changes, and we’ll provide further updates on this program later in the year. Now I’ll turn the call over to our Chief Financial Officer, Michelle Robertson.
Michelle Robertson: Thank you, Charlie and good afternoon, everyone. Editas remains in strong financial position as we advanced our programs forward. Our cash, cash equivalents and marketable securities as of June 30th, 2020 were $598.7 million, compared to $415 million as of March 31st, 2020. The increase was largely due to the $203.7 million in net proceeds raised from the company’s recent equity offering. The proceeds we raised from our recent equity offering have strengthened our balance sheet and we expect our current cash balance will fund our operating plan into 2023. We are well positioned to continue execution across our clinical and preclinical pipeline, funding both our ongoing BRILLIANCE trial and also enabling the advancement of additional in vivo and ex vivo candidate into the clinic. The use of proceeds includes further build out of the development organization, enhancement of our CMC and analytical capabilities and the advancement of all of our programs. Now, I’d like to review our income statement for the second quarter of 2020. Revenue was $10.7 million compared to $2.3 million for the same period last year. Revenue in the current quarter includes $7.6 million in cash revenues received in connection with an out-license agreement. Total operating expenses were $42.1 million, net of non-cash stock compensation expense of $5.4 million, compared to $38 million for the same period last year. Research and development expenses were $28 million compared to $23.6 million for the same period last year. The increase in our R&D expenses was primarily attributable to the expansion of our development organization. External expenses related to IND enabling studies for our EDIT-301 program and non-recurring fees related to licensing. General and administrative expenses were $14.1 million, compared to $14.4 million for the same period last year. The decrease in our G&A expenses was attributed primarily to lower professional services and patent related fees. I reiterate that our strong balance sheet will provide support and flexibility for our pipeline progress into 2023, as well as our commitment to fiscal discipline with allocations of our capital. With that, I’ll now turn the call back over to Cindy.
Cindy Collins: Thank you, Michelle. I’m incredibly proud of the dedication from the leadership, employees and trusted partners at Editas, who have enabled tremendous clinical, scientific and corporate progress, despite the challenges that remain from COVID-19. We are incredibly excited to advance the two pillars of Editas to provide differentiated CRISPR medicines that have the potential to revolutionize the treatment of genetic blindness, cancer, sickle cell disease and neurological diseases. As the first and only company to treat a patient with an in vivo CRISPR gene editing medicine, we look forward to further strengthening our position as the leader in the space with additional programs advancing to the clinic and our expansion to broader indications beyond ocular. We are also excited with our progress in engineered cell medicines, where our differentiated Cas12a editing has generated in vivo proof-of-concept preclinical data in our hemoglobinopathies and oncology programs. Our recent manufacturing agreements enable the continuation of our rapid progress across these programs. We will continue our efforts to expand the reach of gene editing across our platform and look forward to significant organizational velocity in partnership with our employees, partners, shareholders, physicians, and, of course, patients. We thank all of you for your continued interest and support. With that, we will open up the call for Q&A. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from Gena Wang with Barclays. Your line is now open.
Peter Kim: Hello. Thanks for taking our questions. This is Peter for Gena. I guess I had a question or two on EDIT-301. My first one is, I think you showed potentially a best-in-class HbF levels in preclinical studies, maybe you had about 50% HbF levels versus maybe a 30% to 40% by CRISPR, for example, and my question is, I guess, to what extent do you know about having those additional beyond so called 30% threshold that translate to additional clinical benefit? And I have one more question after that. Thanks.
Charles Albright: Sure. Thanks, this is Charlie. So the clinical data with fetal hemoglobin induction across retrospectively shows that more fetal hemoglobin is better. And I think you’ll see as the trials progress that while some of the markers are normalized or close to normal from the 30% hemoglobin inductions, you’ll see that others are not, and so markers of red cell hemolysis, for instance, are unlikely to be normalized although we haven’t seen all that data, and normalization of those markers or their increased elevation will have an effect on the symptoms, and the progression of the disease in sickle cell disease.
Peter Kim: Got it, thank you. And I want one more question is also an EDIT-301. Is there any risk of being cutting out the HGB [sic - HBG] – I think that’s HGB 2 [sic – HBG2]. Is that an issue at all? Given that, I guess, cleavage site would be identical between the cleavage site in front of HGB1 and HGB2 [sic – HBG1 and HBG2]?
Charles Albright: You’re talking about making the deletion because of the duplication of the HBG1 and 2 –
Peter Kim: Yeah, yeah, yeah –
Charles Albright: I think that’s a question. Yeah, that’s – we know that’s a really rare event right now. So we’re not – number one, we’re not concerned in general and secondly, it’s a very rare event.
Peter Kim: Okay. And that rare event is no safety issue.
Charles Albright: No, it won’t be an issue. It’ll just – will be missing one of the two HBG [indiscernible].
Peter Kim: Okay, great. Thank you very much.
Operator: Thank you. Our next question comes from Matthew Harrison with Morgan Stanley. Your line is now open.
Max Skor: Hi, this is Max Skor on for Matthew Harrison. Thank you for taking our questions. Could you provide any additional color regarding the royalty range and milestones associated with the new AbbVie deal? And how should we think about gating factors or initial clinical timelines for the USH2A program? Thank you very much.
Michelle Robertson: So I’ll take the first – yeah, I’ll take the first part of that question. So we jointly agreed with AbbVie that we would not disclose the financial terms this quarter. And however, the payment we’re obligated to pay in Q3 is not material to our cash one way in which will still take us into 2023. And I’ll let Charlie take the second part of that.
Cindy Collins: I’ll answer the timeline question. So, we will have a few transition services associated with the transfer of the assets back to Editas. And we are really thrilled to be able to regain that control of these LCA10 timeline is not going to be impacted at all. And we will be transferring as we indicated in the prepared remarks, some of the manufacturing activities as well. So we’re not going to speak to timelines on today’s call, because we need to assimilate all the transition activities that need to occur from a regulatory, clinical and manufacturing perspective.
Max Skor: Great, thank you.
Operator: Thank you. And our next question comes from Phil Nadeau with Cowen & Company. Your line is now open.
Phil Nadeau: Good afternoon and thanks for taking my questions. First question is a follow-up on the ending of the deal with Allergan. Can you talk a little bit about what gave rise to the decision to get the rights back where, was Editas opportunistic and seeking those rights back or to the priorities at the AbbVie, Allergan change after the merger such that they weren’t particularly interested in the program any longer?
Cindy Collins: So I certainly don’t want to speak on behalf of AbbVie or speculate what the rationale was, but we were certainly thrilled that they, you know, identified and believed that we were the best home for these assets and for this portfolio, given that the technology has had originated within Editas.
Phil Nadeau: Okay, fair enough. And then second question is on 301. What remains to be completed before the IND and I think those activities at risk because of COVID?
Charles Albright: All the activities to get to the IND or the typical activities which were at the tail end of all of them right now. So we’re – we still remain on track to file the IND by the end of the year. And that’s required a really incredible effort from the team this year.
Phil Nadeau: Great, thanks for taking my questions.
Operator: Thank you. Our next question comes from Steve Seedhouse with Raymond James. Your line is now open.
Steve Seedhouse: Great, thanks for the question. Charlie you mentioned the first patient in the LCA10 study remained stable following a three-month follow-up. I just want to clarify stable in that context is with respect to the safety and overall health or are you referring to vision there?
Charles Albright: The vision is also stable in that patient. And so we eagerly await the next update from that in the dosing of the second patient.
Steve Seedhouse: Okay, so stabilized and not increasing nor decreasing to be clear.
Charles Albright: Right, right.
Steve Seedhouse: Okay. And then on the new deal with AbbVie. Could you just clarify also if that – does that include now other Editas programs beyond ophthalmology? Or is this just restricted to the previously contemplated programs?
Cindy Collins: These are the programs that were part of the 2017 Allergan agreement. So they are, LCA10, USH2A to and RP4 and fourth program to be identified.
Steve Seedhouse: Okay, thanks. And last question, I was hoping you could just comment on base editing as a technology that if has any interest in pursuing base editing to supplement your already broad gene editing platform?
Charles Albright: I’ll talk it from the science standpoint and leave the business comment to somebody else. See we looked at base editing early on, it’s an interesting technology it is own distinct platform. We feel we can do what we need to do with the combination of Cas9 and importantly, Cas12a. And there’s still a lot to be understood about base editing as a technology. We’re happy with where we are.
Steve Seedhouse: All right. Thanks for the questions.
Operator: Thank you. Our next question comes from Yanan Zhu with Wells Fargo Securities. Your line is now open.
Yanan Zhu: Hi, thanks for taking the questions. The first question regarding the regaining of the rights. Just wanted to confirm has AbbVie seen any clinical data generated from the first patient?
Cindy Collins: Yes, as you might recall, the LCA10 program was the co-development, co-commercialization program, that is both at Editas and Allergan had an active seed at the table as it related to the clinical development and the clinical trial.
Yanan Zhu: Got it? And could you give a little more color on the timing of data? I think Charlie mentioned the near future for the EDIT-101 program. So if it’s difficult to be very specific on the timing. Could you share some of your decision criteria on when to report such as a patient number or follow-up time? Thanks.
Cindy Collins: So I’ll start. The hope is that we will have data to share later this year. As you know, we’ve treated the first patient. We are in the process of continuing to map and screen patients for dosing the second patient and we think we’ll successfully dose the second patient in cohort 1 as well as the first patient in cohort 2 this year. And the clinical trial sides are open now. And we have clearance through AbbVie to, you know, move forward and seeing the next patient. So it will largely depend on what the dataset looks like, the robustness of it, and we’ll have to take that decision, you know, on a patient-by-patient and collectively you know what we see from the study, I don’t know, Charlie if you want to add any other color?
Charles Albright: I think that’s absolutely right. We’re eager to talk about the data and we’ll release you know it in a timeframe that makes sense from an, both, an investor's standpoint and a being accurate in a representation of what’s happening.
Yanan Zhu: Got it. And on the EDIT-201 healthy donor NK program. Could you share some high-level color what’s your first iteration of the product looks like such as how many EDITs? And I think you previously mentioned is not a CAR NK, it’s rather it works with antibody therapeutics such as anti-HER2 to anti-EGFR. So any, you know, further characterization of the EDIT mates that will be very helpful. And also in – with regard to preclinical data later this year, would you be able to be a little more specific on the timing of that preclinical data? Thanks.
Charles Albright: Sure, we do look forward to providing a full preclinical package for EDIT-201 later this year. And so we’re going to hold off on that because we are – we hope to get that into a scientific meeting. We’re reluctant to tell you about which meeting, because it all depend on the abstracts and getting submitted – accepted and whether we get to talk or a posture, et cetera. So we wouldn’t want to bias any of those things. But we really do want to talk about it so one way or the other we’re going to talk about it this year hopefully to have a robust scientific meeting.
Yanan Zhu: Great. Then last question. Regarding the iPSC program could you speak to the method of the iPSC platform? What – obviously, it’s licensed from Blue Rock. How is that platform differentiated from others, like straight therapeutics method of deriving iPSC cells? And also in terms of IP, intellectual property position, what’s your thought there? Is there any overlap? Thanks.
Charles Albright: Sure. Well first it’s important to realize that what we got from Blue Rock were GMP qualified iPSC seed lines. And that’s really important because the accessing GMP qualified lines is not a simple thing to do so that alliance with Blue Rock in that specific way allowed us to accelerate the program significantly. So what we’re in the middle of doing is merging a world-class editing platform and creating a world-class IPSC platform. We’ve talked quite a bit about our foundational IP position in both Cas9 as well as Cas12a. Right now we’re using Cas12a for our cell-based medicines, and it’s a very good enzyme and it puts us in a great intellectual property position. We’re developing our own methods that we need to avoid the intellectual property that others have so far.
Yanan Zhu: Thanks, Charlie. Sorry I meant the IP position for Blue Rock iPSC technology platform, whether that how the, you know, whether that have any overlap with the other iPSC platforms?
Charles Albright: I wouldn’t want to – I’m probably not the right person to comment on intellectual property for Blue Rock. And I’ll just say that we feel comfortable with the position we’re in.
Yanan Zhu: Thank you.
Cindy Collins: Operator, are there any other questions? There is, my apologies. A question from Joon Lee with Truist Securities. Your line is now open.
Joon Lee: Hi, guys. Thanks for taking my questions and congrats on the progress. Just following up on the ocular program, Charlie you mentioned that the vision is stable. It is stable and safety is a good thing. But you know, as I recall ProQR’s program, the antisense program, they were able to see visual improvement by month, three, five o'clock correctly. You know, how long would you need to wait? Do you think to see an efficacy? And I have a follow-up.
Charles Albright: Yeah, we’ve talked before about seeing efficacy in a small number of months. I mean, I think the important thing to recognize that this patient is life perception only, and it’s a low-dose. So this is going to be the most difficult place for us to see efficacy in this study. So we’re eagerly awaiting a fulsome look at the datas out there.
Joon Lee: Okay and regarding NK cell strategy, you have an allo and an induced NK program. You know, how are you planning to sort of divvy up the indication or because they look very? Are they synergistic or are they more cannibalistic?
Charles Albright: We’re making as in other areas, we’re making differentiated medicine, so we don’t expect the two products to cannibalize each other. In fact, we expect to learn things from the EDIT-201 or healthy donor program to test some biological hypotheses that will be relevant for subsequent NK products, whether they’re healthy donor or iPSC-derived.
Joon Lee: Okay. So will you be developing these allo and induced NK cells for the same diseases or different diseases?
Charles Albright: We haven’t disclosed the indications yet, that’ll come in due course, again, there's we have sensitivity around this from a competitive perspective.
Joon Lee: Of course, yeah. And then you know, just, do you still benefit or get IP from the scientific co-founders, that of your company? And if so, how did those discoveries, there was academic labs that decided whether it goes to you guys or some other company?
Charles Albright: Yeah, we’re obviously in contact with the entire world to the extent we can our founders are among the folks we talked to. And so, I just leave it at that, that we’re constantly on the lookout for technologies that would make sense to improve our platform.
Joon Lee: Great, thank you.
Operator: Thank you. And our next question comes from Jay Olson with Oppenheimer. Your line is now open.
Jay Olson: Hi, thanks for taking the question. Just to follow-up on the AbbVie deal. I was curious now that you regained full rights to the ocular portfolio. Are there any decisions that you would make differently or things that you would change with regards to either the clinical development of 101 or strategic direction that programs moving in now that you have the freedom to make those decisions independently?
Cindy Collins: We don’t have any intention to change the strategic direction or the clinical development strategy. I would say that, I think we’ll be able to make decisions you know, more quickly, because we don’t have to make joint decisions and be able to advance the programs more rapidly.
Jay Olson: Okay, great. Thank you for that. And then just on 301 as you progress towards an IND, are there any initial thoughts you can share with regards to clinical trial design in terms of patient numbers or segmentation and patient populations, about age or genotypes?
Charles Albright: Yeah, we wouldn’t really – I want to comment on that at this point. Clearly, getting the IND and getting the patients is I think a top priority for us, but we don’t really want to comment on the details and I pass that at this point.
Jay Olson: Okay, understood. Thanks for taking the questions.
Mark Mullikin: Thank you, and I’m showing no further questions in the queue. At this time, I’d like to turn the call back to Cindy Collins for any closing remarks.
Cindy Collins: Great. So with that, we thank you all for participating in today’s call and for your support as we work to bring transformative new medicines to patients. Take care and be safe.
Mark Mullikin: Ladies and gentlemen, thank you for your participation on today’s conference. This does conclude your program and you may now disconnect.